Operator: Ladies and gentlemen, thank you for standing by and welcome to Telefonica's January-March 2016 Results Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. [Operator Instructions] As a reminder, today's conference is being recorded. I would now like to turn the call over to Mr. Pablo Eguirón, Head of Investor Relations. Please go ahead, sir.
Pablo Vidarte: Good afternoon and welcome to Telefonica's conference call to discuss January-March 2016 results. I'm Pablo Eguirón, Head of Investor Relations. Before proceeding, let me mention that financial information contained in this document related to first quarter 2016 has been prepared under International Financial Reporting Standards as adopted by the European Union. This financial information is unaudited. This conference call webcast may contain forward-looking statements and information relating to Telefonica Group or otherwise and these statements may include financial forecast and estimates based on assumptions or statements regarding plans, objectives and expectations that make reference to different matters such as the customer base and its evolution, growth of the different business lines and of the global business, market share, possible acquisitions, divestitures or other transactions, company results and other aspects related to the activity and situation of the company. We encourage you to review our publicly available disclosure documents filed with the relevant securities market regulators. If you don't have a copy of the relevant press release and the slides, please contact Telefonica's Investor Relations team in Madrid by dialing the following telephone number, 3491-482-8700. Now, let me turn the call over to our Chairman and CEO, José María Álvarez-Pallete.
José López: Thank you very much, Pablo and good afternoon to all of you. I'm pleased to show on slide three this quarter means a very good start. Our sustainable growth profile has once again accelerated with organic revenue growth of 3.4% and 5.5% in OIBDA year-on-year. Levered on an expansion in the higher value customer base which is enforcing digital experience and loyalty. All this along with capture of synergies and enhanced efficiencies allow us maintain margin at 31% level expanding 0.6 percentage point year-on-year. We have continued to enhance our differential network experience through sustained investment. Spain has returned to simultaneous organic revenue and OIBDA growth for the first time since 2008. Brazil and Germany are delivering a strong OIBDA and operating cash flow growth on synergies and Spain Hispam has accelerated its top-line growth on a strong performance in value customers. This proves that our market positioning strategy is paying off. On the other hand, Telefonica UK has posted a continued strong profitability while continuing to lead the market in contract churn. We started year with a robust liquidity position after achieving historically low rates on financing. Let me highlight we have €20 billion liquidity including the euro bond issued in April, which covers all our maturities through to December 2017 and that's not taking into consideration any cash flow generation. Our midterm net debt to OIBDA target remains at below 2.35 times and we reiterate our 2016 guidance and dividends. To review Telefonica key financials, please turn to slide four. Organic growth ramped up in the quarter with revenues, OIBDA and operating cash flow accelerating the year-on-year growth trends versus the previous quarter. Reported figures were negatively impacted once again by the devaluation of LatAm currencies. So this impact was partially mitigated by the positive contributions from GVT and DTS. It's important to note that the negative impact of FX at OIBDA level did not leak through into free cash flow as was offset by lower CapEx, tax, interest and other payments. So, as in previous quarters, FX impact is mitigated at free cash flow level. Lastly, earnings per share stood at €0.14 versus €0.37 last year which was positively impacted by €1.2 billion deferred O2 U.K. tax asset. Excluding this impact, EPS would have grown 21.7%. I'm also pleased to confirm that we are fully on track to meet 2016 guidance as our Q1 figures are in line with expectations. In terms of shareholder remuneration on May 19 we will pay €0.40 per share in cash corresponding to the second tranche of the 2015 dividend. Our proposals for the cash dividend subject to the receipt of O2 UK proceeds or voluntary scrip dividend of €0.35 per share to be paid in the second half of 2016, and 1.5% of treasury stock to be cancelled are both included in the agenda of the Annual Shareholders Meeting which will be held on the 12th May on second call. So again, 2016 dividend is confirmed at €0.75 per share. On slide six, we show how the quality of our customer base is incrementally improving. The main pillars of growth continue to be high-value services that also drive data consumption, LTE, fibre, smartphones and pay TV. The penetration of these high-value accesses in the overall base is also noteworthy as can be seen on the bottom left of the slide with impressive growth across the board. This shift towards higher value offerings has resulted in tangible growth in customer's value with average revenue per access at 5.2% and in customer loyalty with churn down 0.6 percentage point quarter-on-quarter. On slide seven, we explained the drivers behind our 5.5% year-on-year organic OIBDA growth. Let me highlight that OIBDA grew for the seventh consecutive quarter, and more importantly, all of our regions are already growing, making this growth sustainable and diversified. Revenues also proved their sustainable track record, expanding for the 12th consecutive quarter. New revenue streams are leading the way to becoming an OnLife Telco with a strong performance in connectivity. Organic growth is ramping up versus fourth quarter mainly on Hispam and Spain. It is also remarkable that revenue growth is driven by an acceleration of service revenues in the quarter to 4.2%, which is partly mitigated by lower handset sales and regulatory effects, thereby increasing the quality for our growth. Operating cash flow accelerated to 3.6% year-on-year on the aforementioned OIBDA growth, deceleration in OpEx and margin stabilization. The latter has been driven mainly by the savings arising from synergies, delivery and efficiencies from our simplification program and cost rationalization. Slide eight shows the continued evolution of main data monetization metrics. Smartphone traction continued and average user per case smartphone was up 13% year-on-year while LTE customers using 60% more data than 3G customers. LTE penetration represents 15% of the total. In addition, we have a strong upside in Hispanoamérica where prepaid smartphone penetration is at just 29% and ARPU uplift, once a customer start using data, is approximately 20%. All this translated into data revenue growth of close to 20% year-on-year as a result of the double-digit LTE ARPU uplift. In terms of fixed data, we are starting to address the opportunity as traffic expansion leads to increased demand for faster speed. Digital Services as seen on slide nine are driving impressive revenue growth 19%, up year-on-year, accelerating nearly four percentage points versus the previous quarter. This boost is built on our key digital pillars; video, security and machine-to-machine, which have all seen strong improvement. Video continues to drive traffic and ARPU growth, thanks to our expanding presence in Latin America with high quality services and our own productions and exclusive content in Spain. We are also proud to continue to offer customers an increasing number of digital services, bundled into traditional connectivity packages. On slide 10, we demonstrate how TGR is adding value for the company. We have continued to accelerate our roll out of future proof ultra-broadband networks. With 32 million premises passed with fibre, up more than 25% year-on-year and fibre-to-the-home and LTE coverage of 50%, up 16 percentage point. Our current provisions towards an all-IP network is solid with Voice over IP accesses at 5.2 million and VoLTE available in three countries after deployment in Peru and Colombia. On the IT side, our end-to-end utilization strategy is fostering transforming via full stack projects and our IT transformation are having a significant impact on business, providing us with new digital capabilities. Lastly, we deployed a new Big Data project to improve customer experience and a successful SDN-IP trial in Peru. Now, Ángel will give you more details about our performance in the quarter.
Ángel Vilá: Thank you, José María. Let me turn to slide 12 for a review of our business in Spain. Commercial activity in the quarter slowed down and reflected the momentary pickup in churn following tariffs repositioning. However, commercial momentum progressively recovered as net adds and churn improved throughout the quarter and normalized in March. Fusión delivered a strong quarterly ARPU growth to €78, plus 14% year-on-year, underpinned by a better customer mix, tariff adjustment and the end of the TV premium promotion on December 31. I would like to highlight that around 75% of customers who had subscribed to the promo have stuck to at least one TV add-on. Overall, this outstanding increase in customer value is the result of the strong effort devoted to building a leading proposal, placing us in a very solid market position. The fibre network now reaches 15 million premises passed, LTE coverage 83% of population and the quad-play offering is the most complete and competitive nationwide. In this first quarter, Spain returns to a simultaneous year-on-year organic growth at both revenue and OIBDA level, starting a new growth cycle. Top-line posted a 0.2% year-on-year organic growth on the back of a strong transformation. Turning to segments' performance, consumer revenues are growing underpinned by solid Fusión revenue; plus 26% year-on-year while business revenues are improving driven by a change in the mix from pure communication services towards a richer IT offering. More significantly, OIBDA posted a turnaround with a 2% organic increase leading to a benchmark OIBDA margin of 40.5%, up 0.7 percentage points year-on-year organically. Let me mention that the voluntary redundancy plan still did not show any positive impact in the quarter as employees' leaves have started on April 1. And finally, operating cash flow trend improved also significantly being virtually stable year-on-year, in organic terms up seven percentage points sequentially from a decline of 7.5% in the previous quarter. To renew Telefonica Deutschland, please turn to slide 14. We are keeping our momentum in a dynamic environment with a focus on retention over acquisition, with continued traction from partners. In this context, partners' share of contract gross adds has been broadly stable, around 45%. LTE is the main lever of positive data monetization with customers up 10% quarter-on-quarter and usage 50% higher year-on-year helped by video music streaming. Total revenues declined 2.3% year-on-year affected by lower handset sales. Fixed revenues maintained trends sequentially with record VDSL net additions. Further progress on integration is shown in slide 15 with the repositioning of the O2 brand, customer base migration, network integration and IT transformation. These initiatives require significant investments in terms of OpEx in the first half of the year with incremental synergies in the second half. In parallel, network improvements are recognizing customers' survey base tests. On profitability, we captured €55 million of OpEx and revenue synergies in Q1, which are reflected in the 6.2% OIBDA growth year-on-year and the 1.8 percentage point margin improvement. CapEx was down 1.2% versus Q1 2015 as costs of integration efforts are backend loaded, and as a result operating cash flow grew 16% to €173 million. Please turn to slide 16 for an update on Brazil. In mobile, we continue increasing penetration in high value products leading to an ARPU growth of 14% year-on-year despite the weaker macro environment and regulation impact. In the fixed business, our strategy is paying off. Fixed broadband ARPU increased 8% year-on-year as a result of the fibre network expansion outside Sao Paulo and the improvement of the legacy copper network. And pay TV ARPU accelerated 13% year-on-year thanks to our differential value proposition. Let me also remark that Brazil finalized the successful execution of the brand unification in April 2016. On slide 17 we continue outperforming the Brazilian market, posting positive revenue growth in both businesses thanks to our data centric strategy. It is worth highlighting the seven percentage point sequential improvement in year-on-year OpEx evolution despite inflation pressure due to; first, a more selective commercial approach; second, credit and collecting actions to improve the bad debt trend; and finally, the early synergies the company has started to capture which amounted to €48 million in OIBDA. As a result, OIBDA growth accelerated to 8.2% and operating cash flow to 32.1% year on year. Turning to slide number 18, let me summarize Hispanomérica's commercial performance. Commercial momentum was maintained in Q1 with the adoption of high-value services. As such, contract accesses grew by 7% with net adds eight times higher than in the first quarter of 2015. Fixed broadband and pay TV continued to show solid growth rates and increasing penetration over fixed lines. In Argentina, smartphones posted strong net adds boosted by LTE deployment and fixed broadband maintained low levels of churn. Chile posted the best growth in contract accesses in the last four years while continuing to improve speeds on fixed broadband. Peru once again presented outstanding figures in fixed broadband and TV on the back of its differential assets and quality. Colombia posted strong net adds and low churn. And finally, in Mexico, contract net adds grew four times year-on-year despite the higher level of competition. Moving to slide 19, the outstanding commercial performance is flowing into revenues. Revenue accelerated to 11% year-on-year thanks to the improvement experience mainly in Mexico, Colombia and Argentina. It's worth highlighting the growth registered in strategic services like mobile data, fixed broadband and pay TV. Despite the negative impact of the depreciation of LatAm currencies, the intense competitive environment in some countries and the pressure of inflation in some others, OIBDA grew 1% year-on-year thanks to outstanding data growth, efficiency measures and a more rational commercial approach. On slide 20, we give you a brief overview of our operation in the UK. Commercial traction continued leveraged on a best-in-class customer experience and on successful propositions which resulted in sustained contract churn at market leading level of below 1%. Quarterly contract net additions reached 115,000 driven by LTE and a penetration of 38%. All this formed the foundation for the seventh consecutive quarter of mobile service revenue growth. That's 2.6% year-on-year ex-refresh. Lastly, profitability is worth noting. OIBDA and operating cash flow went up 5.5% and 16% year-on-year respectively and OIBDA margin increased by close to two percentage points, reaching 26.3%. Let me now move to the financial slides starting on slide 21. Net debt at the end of the quarter stood at €50.2 billion, almost flat versus December 2015 figure despite seasonality impacts that usually take place in Q1, partly thanks to the savings related to the British pound hedging. For the remaining of 2016 and beyond, our leverage will reflect the cash flow generation from improved operational performance combined with corporate actions. All-in-all, we are on track to achieve our medium-term leverage target. On slide 22, we continued reducing the effective interest cost in the first quarter which has moved down by 39 basis points year-on-year to 4.66%. Our liquidity cash on hand after the last euro bond issued in April reached €19.9 billion covering the full amount of 2016 and 2017 maturities without considering cash generation, additional financing nor credit lines extensions. Also, this cash on hand has been strengthened through €9 billion long-term financing since November 2015, €5 billion year-to-date accessing different pockets of liquidity and benefiting from lowest historical benchmark rates. Please turn to slide 23 for an update on Telxius, our infrastructure company, one of the leaders in the sector in Europe and the Americas. Telxius was created with a selection of Telefonica's well diversified assets and includes approximately 16,000 towers in Spain, Germany and some countries in LatAm, plus more than 65,000 kilometers of fibre optics, submarine cable, of which around 31,000 kilometers are owned. Telxius' attractive proposition includes a high level of revenue visibility going forward, given the long-term contractual terms and the strong cash conversion based on the low levels of recurring maintenance investments and the strong profitability around 45%. In terms of financials, initial 2015 pro forma figures indicate that revenues would reach around €680 million and OIBDA around €300 million. Now I hand back to José María for the concluding remarks.
José López: Thank you, Ángel. To recap, we had solid start of the year. First, our growth is accelerating, leveraging a strong execution in fibre, pay TV and LTE which are delivering a differentiated level experience, and as such OIBDA is growing across the board. Second, Spain achieved both revenue and OIBDA growth while operating free cash flow is stabilizing. Third, synergies capture and efficiencies led to a strong OIBDA growth and margin stabilization. Fourth, operating cash flow is sequentially improving growth with targeted CapEx. And finally we confirm our outlook and dividend for 2016. Thank you very much for the attention and now we are ready to take your questions. [Operator Instructions]
Operator: Our first question comes from Mathieu Robilliard from Barclays. Please go ahead. Your line is open.
Mathieu Robilliard: Good afternoon. Thank you very much. First, I had a question with regards to the potential UK transaction. If we assume for a moment that it may not proceed or as expected, are you in a position to explore different strategic options right after that decision has been disclosed or would you have to wait, for example, in case your partner decides to appeal to the decision before you can take any action? The second question has to do with Spain, where obviously you had a very strong performance. I was wondering if you could elaborate a little bit about how you think you can continue to differentiate in the fixed business considering that both Vodafone and Orange are expanding fibre network and will also have access to content, I mean, notably soccer. Thank you very much.
José López: Well, taking your first question first, allow me to say that Telefonica is convinced that the remedies that have been offered for Hutchison, we think, address all Commission concerns. We think that those remedies are unprecedented and therefore, nevertheless we cannot exclude that level of political interference that can affect the decision of the Commission. We have several reasons to think that the merger merits our Commission's decision. First, this transaction we think will have a positive impact on effective competition in the UK market, in particular with regard to price competition, network quality and consumer's choice. We think that the failed [indiscernible] merger is not comparable and that this transaction is much more similar to the Austrian or the Irish or German cases. We also think that the preliminary concerns that were exposed by the European Commission in the statement of projections are not materially different from the concerns that we're raising in those previous cases which by the way were clear. I think that they're very similar to the German or the Irish case. We also think that the remedies that have been offered by Hutchison are unprecedented in terms of divestment in Tesco Mobile, which is 5% of the market share, offering a [indiscernible] of the combined network on [indiscernible] capacity-based deal and other capacity deals that were amounting of more than 40% of the combined network in hands of the new entrants. All those remedies are substantially larger than the ones that were given by Telefonica in Germany, which by the way, the Commission recently described as positive structure in nature and conceptually close to an M&O. So basically we think that the remedies that were proposed by Hutch were more than enough to address those concerns. The decision of the Commission should be coming in May, and we think that this transaction was designed to really benefit the UK consumers. Having said all of that, we think that the strictly legal analysis would justify a clear decision, but a negative decision cannot be disregarded, probably due to political reasons especially in the context of Brexit, which is basically contaminating all debates and also the stronger position showed by the national regulatory authorities. Our UK asset is a very attractive asset and has been, by the way, continued to outperform our competitors on most key metrics. Regardless of the final decision taken by the Commission, we enjoy as we have been stating a very comfortable position in terms of liquidity because of the long-term financing that we have been achieving through all this year, and therefore we are ready to face a decision in whatever direction. We have put in place all these initiatives to strengthen our financial flexibility, and in order to cover those I hand over the question to Ángel.
Ángel Vilá: Hi, Mathieu. This is Ángel. You had a very specific question, which was would we be bound by the contract when Hutchison would be appealing if the decision was negative? The answer is that we would only be bound until the moment that contractually there is what it is, sometimes called, a drop dead date that does not stretch beyond the end of the second quarter. With respect to what could be the financial implications for the deal to fall apart? First you have to take into account the strong free cash flow generation that the company is going to produce. Second, that while consolidating in that case of the deal not going ahead, the UK activities, our debt surveys and our dividend coverage would be improved. Third, we have already announced financial measures for that eventuality including the voluntary partial scrip dividend in the November tranche of €0.35. Fourth, we are executing portfolio management measures, regardless of the outcome of the UK, for instance releasing capital through transfer sell businesses like the potential Telxius IPO, we continue to review our geographic portfolio of assets. We are looking at potential divestment of non-core assets and we're also evaluating minority stakes like Mediaset Premium, which has been left alone by Mediaset; and finally we would have several alternatives regarding the UK asset once the EU decision would become clear and final.
José López: And taking your second question on Spain and our [indiscernible] in order to differentiate our offer. First, allow me to say that we do think that we have a best-in-class platform in Spain compared with our local competitors and mainly at the level of European competitors. We have the most extensive ultra-broadband network in Europe and the most complete compared to any of our competitors here in Spain. We have 83% of LTE coverage. We have one of the strongest, if not the strongest TV platform in terms of technological capabilities; catch-up TV, video on demand, last seven days recording. And on top of that, we have the best content of all the markets because remember that in terms of premium content, we are bound by the remedies out of the DTS transaction to offer 50% of the content premium to our competitors and therefore, they need to choose between the different ones. That's why we think we have best-in-class growth and also best-in-class churn and customer loyalty around the Spanish situation. So you should expect from us to build on those, on the technological capabilities of the platform, of the network, and therefore, features like symmetric speed, upstream, downstream, and upgrading our offer is the strategy going forward in order to up-sell what customers, and therefore, to keep growing momentum on ARPU and customer base in Spain. So we feel in a strong situation. We acknowledge that there's strong competition, the infrastructure-based competition which we think is the sounder competition, but we still feel that we have a very unique set of assets that allow us to be positive for the future.
Mathieu Robilliard: Thank you very much.
Pablo Vidarte: Thank you, Mathieu. Next question, please.
Operator: Your next question comes from Mandeep Singh from Redburn. Please go ahead.
Mandeep Singh: Hi. Thank you for taking the question. I'm really focused on sort of development of trends in Spain. Clearly you had a slow start to the quarter due to price changes. You said commercial activity picked up. Just want to get a sort of picture of how the rest of the year will develop? I'm not looking for quarterly guidance, so I appreciate you don't give that, but when do the extra content costs kick in? When do the head count savings kick in? Is the revenue trend, now that we're positive, is it sustainable as the OIBDA trend now that it's positive. Do you refer to the slide as start of a new cycle, which suggests to me you think of it as sustainable. So can you just sort of map out when the extra content costs kick in? When the extra labor cost savings kick in? And how the year could pan out, please? Thank you.
José López: Well, thanks for your questions. In terms of the trends that we foresee, we think that those trends are going to be confirmed all around these years. In terms of revenues, we highlighted at the end of 2015 on the last quarter that we were aiming to have growth combined with DTS. We are already there. We have had to offers upgrade in terms of putting more value for a slightly little bit more price in the last 12 months. In spite of that churn, it's relatively stable. And in fact the performance of churn in the last month of the quarter in March and what we have seen so far in April confirm a better performance. And also in terms of competition, we see a competition in Spain being much more focused on value than on price, and therefore we think that the trends that have been built all along the last four to five years in Spain are sustainable and should be going into this direction. In terms of OIBDA impact, namely on content impact, and in terms of the efficiency plan that we have put in place in Spain, remember that this first quarter already includes an extra course of the Champions League that were not there in the last quarter of 2015. Therefore, the first impact of content cost has already been there. And we have been able to neutralize that in spite of the fact that we have been having no savings coming from the voluntary retirement plan in Spain because that was the exit time [indiscernible] starting on the 1st of April. So the first quarter of 2016 includes an extra cost of content and has no impact, a positive impact from efficiency coming from this voluntary retirement plan. As a result, we do think that OIBDA trends are also going into the right direction. Next stage is operating free cash flow growth and we are targeting to get there. So overall, more positive trends in the Spanish market. The overall environment in terms of competition is much more focused in value, in up-selling customers than in price overall. And again, I think that infrastructure-based competition is motivating all of us to put more value on top of the table and that the customers are appreciating those attributes like speed, connectivity, content, technological attributes of the platform and we think this is the right market dynamic.
Mandeep Singh: Thank you, José María.
Pablo Vidarte: Thank you, Mandeep. Next question, please.
Operator: Our next question comes from Luis Prota from Morgan Stanley. Please go ahead.
Luis Prota: Yes. Hello. Two questions, please. First is on Fusión and the broadband market. Your net growth in broadband clients is just below 1% and you have now like 70% of the broadband base which is already in Fusión. So what I want to understand is what are your expectations in terms of the total broadband market growth in Spain. And also in terms of the migration of non-Fusión clients to Fusión clients, whether you could give us the ARPU of the non-Fusión clients now and what are the dynamics in the migration of non-Fusión to Fusión? What I mean is whether you expect reaching 100% of your broadband base in Fusión, or this is not realistic for whatever the reason and maybe it's just 80% or 90% and how fast that would happen? Your thoughts in this would be very helpful. And the second question – I'm sorry for long first question. The second one is on the refinancing opportunity you have. I would like to understand what are your expectations in terms of lower interest costs in the next few years. You have above €7 billion upcoming maturities annually. So what could be the potential extra cash flow coming from this area taking into account the average coupon of those maturities and the potential new coupon of the new bonds? Thank you.
José López: Thanks, Luis. A pretty complete first question. Let me try to address it. First, we still see a growth in terms of penetration of Fusión customers on the total bundle, and therefore, we still see growth ahead of us in terms of bundling more customers and therefore bring in more customers from the competition to a bundled service from Telefonica. So we will not give up in terms of organic growth in terms of number of accesses. In fact, remember that during this – we have been growing Fusión. Right now, customer base is 4.2 million. It has been growing 9% year-on-year and with 1.4 million of additional mobile lines which has been growing on top of that 9% year-on-year as well. It is true that this first quarter has been negatively impacted by the tariff repositioning and by the TV promo benefits that ended in December at the end of last year, but also remember that there's no retention clauses anymore, and therefore, now the market is much more dynamic. Remember that in terms of the gross adds of this quarter, 51% of those gross adds were totally new customers, which is 13 percentage point of growth year-on-year and 91% of those were bringing new accesses, which is again 9% growth year-on-year. If you add on top of that this organic growth, the fact that we see a huge amount of possibilities and then in terms of up-selling the existing customer base, high value mobile has been 74% versus 3% in the first quarter. Ultra broadband is also doing significantly better. We are also upgrading our TV customers. So we see growth on the Fusión part of the residential revenues coming from both the organic additional new customer base and also from up-selling our customers. And in terms of calculating the ARPU of the non-Fusión customers, I think that we have disclosed the number of non-Fusión customers and you have also the figure of revenues of non-Fusión revenues, so we can help you through the IR department to calculate those numbers. I think that those numbers have been disclosed. I hand it back to Ángel for the second part of your question.
Ángel Vilá: Hi, Luis. Our guidance of effective interest cost is below 5% on a declining trend. At the end of the first quarter, we had 4.66%. This 4.66% is the weighted average of the cost of debt in Europe and the debt in LatAm. Debt in Europe, our cost right now is around 3.6%, in LatAm around 8.7%. So an assumption you can make is from that 3.6% a reduction of 1.5% to around 2% cost, you can apply these to €6 billion refinancing average that we have every year of this type of debt now so this can lead you to some substantial savings on interest costs.
Luis Prota: Okay. Thank you.
Pablo Vidarte: Thank you, Luis. Next question, please.
Operator: Your next question comes from Ivón Leal from BBVA. Please go ahead.
Ivón Leal: Good afternoon, everybody. Just two questions again on Spain. The first one is, I would like to understand if there's still some potential revenue erosion from the all-digital plus pay TV subscribers are migrating to your platform. So I don't know if you could share with us how many pay TV subscribers are still digital TV subscribers? What's their ARPU and what kind of ARPU we should expect from them when they migrate to Fusión pay TV offer? And the second one maybe on football. Has your approach to football rights changed at all since December. Or you think that football rights have the same value that you agreed to pay for in December 2015?
José López: Well, in terms of your first question on the potential revenue erosion of customers coming from the former DTS customer base, let me tell you that the initial overlap has been mostly covered in terms of customers moving from the Movistar Fusión bundle or our customer just exiting or quitting the Telefonica group perimeter. So most of this process has already been made. And in spite of that, if you go to the reported figure of the Telefonica, overall pay TV customer has been growing year-on-year, which means that we have been adding more customers than the ones that have been leaving us. And as a result, what I can share with you in terms of our overall number of customers, this overlap has mostly been covered. There is still a minor, a significantly minor part of the customers that haven't decided yet. We read out of that that some of them will preserve both platforms because it might be the second resident. So basically in our estimates, most of these process have already been covered and in spite of that we have been able to grow pay TV customers in Spain and to grow pay TV ARPU. So I think that this migration once both databases have been combined has been proactively managed in terms of outbound call center calls, and I think that we can read out of that this negative synergy coming from the ATS Integration has almost been covered. So in order to give you an idea, we have out of a total number that we have initially, we have something in the neighborhood of 15% of the customers are still – 15% to 20% of the customers still pending of a decision but most of them we read that they will not be giving up both services. We'll keep you posted but what we can share with you is that most of that migration process really has already been completed. And in terms of the content, you know that we signed with Mediapro, an agreement for the next two years. These extra content costs would start to flow starting from mid-August with the new La Liga Championship for the 2016-2017. And all the other content that we have, Formula 1 or MotoGP, we have also those rights signed for the next two years. So I think that overall this year you will have a full picture of what could be the extra cost. Allow me to remind you that both Vodafone and Orange have decided to buy this Liga content from [indiscernible] as well and that we have one of the packages which is third party data and, therefore, I think that all along this year you will have a full picture of what could be this impact going forward for the next two years both in terms of extra cost, but also in terms of extra wholesale revenues for Telefonica going forward. All-in-all, what I can share with you is that this extra content cost we think is less than the savings that we are going to be able to generate for the efficiency plan that we have put in place and therefore I think that the equation is sustainable at least for the next two years.
Ivón Leal: Okay. Thanks, José María. I thought you had to renegotiate your agreement with Mediapro because a regulator had for those eight matches per week.
José López: No. I mean, I – first piece of information.
Ivón Leal: Okay. Okay. Fine. Thank you. Thanks so much.
Pablo Vidarte: Thank you, Ivón. Next question, please.
Operator: Our next question comes from David Wright from Bank of America. Please go ahead. Your line is open.
David Wright: Hello, guys. Thank you very much for making the questions and congratulations, José María, on your new appointment. I'm just trying to understand the commercial activity in Spain with the Fusión adds running significantly below run rate. You have said that that was restored in March, but clearly that does correspond to poor adds when there were no promotions and then better adds when you relaunched the promotions at the beginning of March with the 65-year old package for 2015. So how should we read this? Does this mean dropping promotions means commercial momentum falls and churn picks up? And in which case, how sort of confident does this leave you feeling with the midterm monetization of content costs, given that it was somewhat predicated on promotional spinoff? And then just my second question, just to clarify you said a moment ago extra content costs should be more than offset by cost savings on the suspension plan. Do you mean OpEx savings or do you mean the actual cash cost savings if we assume the pre-retiree payments or the suspension plan payments? Thanks.
José López: Thank you very much for the first part of your question. In terms of the commercial activity, we think that we need to read the Spanish market in a way that we will need to combine promotions with up-selling of the offer. And therefore now that the market has become more value oriented, I think that there is some strategy that we should follow in terms of adding new customers and at the same time trying to up-sell those. And therefore, you should expect from us to combine both things. Practical promotions are the ones that we have been putting in place just for new acquisition, for new customers starting last month and that we have been extending. And also in terms of up-selling the offer in terms of putting more value for the existing customers or more optionality for the existing customers. Also, remember that again there is no more retention clauses and that we keep deploying fibre to new zones in Spain. Therefore, I think that going forward, there is a smooth way of trying to combine new covered zones, new coming customers with a reshuffle of the offer in order to try to up-sell our customers. That's why we think that combining both things, commercial aggressiveness in order to attract new customers, namely to the bundled product with – we're trying to monetize the new network that we are deploying should help us to keep the revenue growth momentum in Spain and therefore to cover the extra cost coming from content cost. And in terms of my previous comment, in terms of the content cost being more than covered by the efficiency, I was talking about OpEx but I have also highlight that we are approaching a point in which operating cash flow in Spain, OIBDA minus CapEx is going to start to grow. So we are going to be putting in place other cash efficiencies and we are putting in place other cash efficiencies that should allow us to be able to transfer this growth into a sounder or an increasing cash flow generation in Spain. So we are not giving up in none of the fronts, at the average level nor at the cash flow level.
David Wright: I see. But just for the purposes of our understanding the modeling side, when you say operating cash flow EBITDA minus CapEx, that clearly does exclude the 68% payments out to the suspension plan employees, correct?
José López: Correct. At this level, correct.
David Wright: Thank you. Okay. Thanks very much.
Pablo Vidarte: Thank you, David. Next question, please.
Operator: Our next question comes from Giovanni Montalti from UBS. Please go ahead.
Giovanni Montalti: Hello. Sorry. Can you hear me?
Pablo Vidarte: Yes. We can.
Giovanni Montalti: Hi. Sorry. Going back to the UK, just trying to understand how we should think about these assets. Assuming that the deal with Hutch doesn't go through, what would be your plan A? Staying in the UK, and let's say eventually seeking, let's say, some strategic options that could give you a conversion of the base, or plan A is still leaving the UK market? Thank you.
Ángel Vilá: Hi, Giovanni. First, I should reiterate what José María said at the beginning of the call. This is still pending decision, no? In any case, the UK asset is a very attractive asset. As I was saying in when I was doing the presentation at the beginning, mobile service revenue is 2.6% up, margin is up two percentage points, about 26.3%. Cash flow generation is very strong, can be even improved through working capital measures. So it's a very attractive asset. In addition to these, the whole discussion of remedies that has taken place with the Hutchison process has made everyone's priorities and intentions quite clear. So this provides good visibility on what could be feasible alternatives and again the asset is very attractive. So we have plenty of alternatives. Some of them would allow us to combine the UK cash generation with a partial divestment. Some other alternatives would imply loss of control. We can have either capital markets or M&A solutions, and you should expect that in the case where this does not go ahead and once we are released from the contractual obligations that we would be expeditious but we would be in no rush. We have plenty of alternatives.
Giovanni Montalti: Sorry. If I may follow-up, [indiscernible] push you in let's say, discussing things you cannot say because I mean the deal is still on, but again assuming that scenario in which it doesn't go through, would an option of staying in the UK and looking for building up a convergent asset base be an option that we will consider? Or again, the other scenarios are just implying as you were mentioning, remaining, eventually selling a part of the asset, eventually selling it as a whole, but I mean staying and developing a different business model more comparable to a certain extent to what you're doing in Spain or in Brazil. Is this an option you're considering? Does that make sense to consider this scenario? Thank you.
José López: The answer is yes. If the transaction was not to be approved, we would be opening strategic reflection of the UK and because of the performance that we have been having in the UK and because of the information that we have right now out of the different remedy packages that have been offered by the different players, we will not exclude any possibility.
Giovanni Montalti: Thank you much. Thank you.
Pablo Vidarte: Thank you, Giovanni. Next question, please.
Operator: Our next question comes from Justin Funnell from Credit Suisse. Please go ahead.
Justin Funnell: Thank you. Yeah, just follow-up questions, please. On pricing, you've done a great job of getting pricing up in the last year in Spain for the best in the sector, but it becomes a bit of a problem obviously as you hit the anniversary of the price increases. I guess May 2015 was a big one. Do you think that's it for price increases or can you do more? This is my simple question. In terms of CapEx, you're pointing to the fact that OCF growth, EBITDA margin CapEx can grow faster than EBITDA perhaps. Are we starting to get the end of the peak in the fibre CapEx in Spain. Is this sort of a new trend that we're going to see actually over the next few years that CapEx starts to come down a bit. And then just then finally in Brazil, can you give us sort of a view on your outlook for the business over the next two quarters to three quarters? There's obviously on the one hand economic pressures, and a bit of pricing pressure. On the other hand, your strategic advantage in the market is you're ready to take share. How do you see that playing out? Is it going to get worse or is Q1 the low point for your revenue growth in that market? Thank you.
José López: Well, thanks for your questions. In terms of the anniversary of the year-over-year comparison of our up-selling strategy in Spain, remember that we are putting significantly more value for a little bit [indiscernible] average price per unit of value is decreasing as we speak in Spain. Having said that, we have been able to do that [indiscernible] and again with no retention clauses with very low levels of churn and therefore it looks like customer loyalty is there because they appreciate the new product that we are putting on top of the plate. Now we have more than 50% of homes passing Spain with the best fibre-to-the-home technology. We think we are the single player in Europe that is ready to offer massively the highest fixed broadband, symmetric speed and I'm talking about symmetry of speed at some point which will be included in our offer, more than 300 megabit per second. And we can even upgrade that speed without significantly leaking CapEx and we have one of the best 4G mobile network which covers already 83% of the population. And we think we have the best nationwide TV content offer in the market. So I think that you should expect from us to keep up-selling to our customers, to keep proposing our customers, the ones that are ready to do that to enjoy more attributes in terms of either more speed, more capacity or more features on the technological TV platform or more content. So I think that we will be strategically improving or proposing upgrades of the offer for the customers going forward. And we do see competition in Spain fall into the same direction because they are also deploying fibre. They are trying to catch up with us but still they are significantly behind. So I think that you should expect from us further upgrades on our value proposition and therefore I think that this is trend [indiscernible]. In terms of CapEx, it is true that it's going to be depending on the new regulation of coming in Spain. Competition zones have already been declared. Also, the way the wholesale offers are going to be calculated in terms of retail minus also offers the possibility in terms of wholesale revenues depending on what the level of those prices, but it is also true that the bulk of the deployment has already been done. So clearly there is still a few more quarters to go on CapEx, but yes at some point CapEx intensity should start to go down and therefore that's why including the current, the existing levels of CapEx intensity, we are very close to reach OIBDA minus CapEx growth in Spain. And getting back to David's question before, including the retirement cost that are being carried out for the last years from the previous retirement plan, the retirement cost impact in terms of cash flow in 2016 is going to be lower than in 2015 despite the new plans. So we do think that the next pending issue in Spain is cash flow generation, and I think that we can keep going. In terms of summarizing the answer, we think that we can still outperform our competitors. We think that economic situation in Spain is also helping. The customers are focused more on value than on price, significant amount of them. And we think that we can handle that. We have contained cost impact and therefore with a sounder OIBDA. In terms of our Brazilian outlook, we are more positive than the market in terms of the situation of Brazil. We think that the macroeconomic trends, once the political situation is cleared, would recover probably sooner than what most people in the market is expecting, and that's why we keep being very confident on the Brazilian market. During the bulk of the prices and remember that the year-on-year comparison is going to start to ease namely in terms of currencies because the next quarters, the Brazilian currency – namely in the second half of this year, comparison should be more in our favor because the bulk of the impact on the reais occurred in the second half of the previous year. Operational trends in the middle of the crisis have been outstanding at the level of VIVO. And I'm talking about both the former GVT and the former VIVO, including the wireline business. The underlying trends are pretty sound and it is true that revenue growth had decelerated, but it is also true that part of that deceleration is coming from ourselves stopping gross adds in order to control bad debt. And also coming from a regulatory drop of MTR and FTR that have an impact on of course the macroeconomic situation. Even if [indiscernible] all of that synergies of the GVT transaction are flowing, and that's why we are outperforming our peers in Brazil, both in terms of revenues because of gross synergies and because of the fact that we have the best customer base in Brazil and because of the integration efforts that we are doing in terms of taking the best out of both worlds, the former GVT world and VIVO. So we are pretty confident on the future of our Brazilian unit. I think that our team headed by Amos is doing an outstanding job, and is precisely in times of recession when you check the quality of both your assets and your management team. And on that part, I think that we are clearly beating our peers.
Justin Funnell: Thank you.
Pablo Vidarte: Thank you, Justin. Next question, please.
Operator: Our next question comes from Georgios Ierodiaconou from Citi. Please go ahead. Your line is open.
Georgios Ierodiaconou: Good afternoon. My first question is on Mexico and looking at your numbers, clearly very good performance especially compared to some of your competitors. However, I was just wondering how sustainable what we've seen in the first quarter is for the rest of the year. I note you mentioned there's been some agreements regarding previous disputes but other operators have benefited their results. I'm guessing also there's been some incoming benefit. So perhaps if you can talk us through those effects and what to expect for the rest of the year given the price pressure there. And my second question is more around the options for the leveraging you have beyond disposal. So some of the rating agencies are talking about the option to issue more hybrid. I was just wondering whether you can update us on the magnitude of this hybrid issuance room you have, whether you would feel comfortable with that? I know the rating agencies could allow it, but it's still to a certain extent that. So if you can talk us through how much of the shortfall if the UK deal doesn't go through can be bridged from hybrid? Thanks.
José López: Thanks for your question. In Mexico, our results have been solid in this first quarter. It is also true that competition has significantly intensified in Mexico. It is also true that our first quarter has been impacted by the reduction of interconnection phase of the non-dominant players which means that there is the symmetry of interconnection has been also in our favor, but it's less in our favor than a year ago, because it has been also dropping. But it is as well true that we have been positively impacted but an agreement bridge with other players over disputes on the interconnection of this piece of our previous periods. Having said all of that, that's why commercial momentum in terms of revenue growth has now declined. We see several plans going on, on the Mexico market. Some of the most aggressive promotions that were there during the Christmas campaign and in the first three weeks of January are starting to be removed, and therefore even though there's still a high level of price aggressiveness, it still is a little bit lower than at the beginning of the year, though it's still very high. It is also true that we have our own differential features. I think that those are positive ones. In terms of, we have for the first time, having some continuous positive momentum in contract. We have been multiplying by four times the net adds in contract year-on-year, and contract accesses have been growing 25% year-on-year and that should provide us in spite of this commercial aggressiveness with a little bit of more momentum going forward. Smartphones has almost reached 11 million on our customer base in Mexico, and this is 47% year-on-year. And smartphone customer has significantly more data consumption than a feature phone customer. Smartphone already represents 44% but just 44% of our customer base in Mexico. And our LTE accesses have reached 2.2 million and this is more than doubling the number of customers that we had a year ago, but it is still just 9% penetration of our customer base. So commercial aggressiveness is there. It's still a little bit lower than at the beginning of the year, but still there. There is some trends that are going to take a while to recover in terms of rebuilding the value for a customer that we used to have in November in Mexico, but we see some positive trends on our own business that allow us to be slightly more optimistic than the overall plant of the market. Having said that, we will keep you posted quarter-after-quarter.
Ángel Vilá: And regarding deleveraging, let me give you some elements. In the case that the deal were not to go ahead, debt service and dividend coverage would improve while consolidating the UK OIBDA and free cash flow. And these OIBDA and free cash flow from the UK helps to have a debt service to the tune of €5 billion-ish or a bit higher in terms of euros. Then you have to think also in free cash flow generation, we have OIBDA and operating cash flow growing organically and the FX headwinds will be lower in the second half. Please bear in mind that the big devaluation in Brazil, in Colombia was in the third quarter, in Argentina in the fourth quarter. So the second half is going to provide for better comparisons. And all our units, all have simultaneously growing in OIBDA with a sequential acceleration. Then, we're going to proceed with transactions like the potential Telxius IPO. And then with respect to financial measures, the voluntary scrip dividend for the tranche of $0.35 in November if it has the same capacity last year, would provide a cash preservation to the tune of €1.5 billion-ish. And finally specifically to your question, in addition to the partial voluntary scrip, if needed we could consider all our measures like hybrids. We have now €5.5 billion outstanding. Capacity could be equivalent to that, an additional €5 billion to €6 billion, if needed we could consider, but not to exhaust that figure at all. What we are not planning is any measures that may have dilutive impact.
Georgios Ierodiaconou: If I could ask a follow-up...
Pablo Vidarte: Thank you, Georgios. Next question, please.
Operator: Our next question comes from Keval Khiroya from Deutsche Bank. Please go ahead.
Keval Khiroya: Thank you. I've got two questions and both of which are related to Spanish football. On the slides you highlighted that 52% of Pay TV customers take an add on, last quarter that was 53%. And if I looked at DTS disclosure correctly, the absolute subscriber number taking a TV add-on hasn't really grown. Within that, can you tell us or give us an indication of how many customers take football today and what trend you've seen in terms of growth in that number if at all for the past two quarters or three quarters? And then secondly, with the new agreements you have with Mediapro, can you tell us how this content cost would be split over the three years? Would they be split evenly or is there a formula of how you split them over the three years? And are you able to tell us how much you've booked for Champions League in Q1? Thanks a lot.
José López: Thanks for your question. In terms of the number of customers that have TV add-ons are as you're mentioning 52% compared with 53% a year ago. But also remember that we have been putting some football rights on the basic offer and we might be inclined to do so going forward in order to increase attractiveness of our offer and at the same time reduce churn. So the value should be judged not just on the pure football right customers, but also on the value that provides in terms of lower churn and the basic offer of some of those packages. Therefore, I think that we should consider the football rights has an overall impact on the revenues of Telefonica de España [indiscernible] specifically on the football package. We'll not disclose for commercial purposes the different customers that we have on the different premium packages. But allow me to say that the ARPU expansion that we are having on the overall of Fusión year-on-year on that, out of that ARPU expansion, football rights are a significant driver. And in terms of the agreement with Mediapro, they are not exactly linear, but they are mostly, I mean there are some differences. We have not disclosed that in terms of the split. But again, allow me to stress the fact that in the next few years including these extra costs not being as completely linear, we think that the savings that we have put in place more than compensate the extra cost of content going forward. Sorry for not being able to be more specific.
Keval Khiroya: Yeah, that's okay. Thank you.
Pablo Vidarte: Thank you, Keval. We have time for one final question please.
Operator: Our last question comes from Jonathan Dann from Royal Bank of Canada. Please go ahead.
Jonathan Dann: Hi there. Two questions. One, do you see any benefits from the EC debt purchase? I mean can you – could you issue debts at very low rates straight to the European Central Bank rather than say expensive hybrids? And then a second one is, I guess with a clean sheet of paper, it looks like basically two of the main assets have a lot of fibre, and then in Germany there's a credible wholesale alternative. But in all of, pretty much all of HispAm America there's no fibre at all. Is there an ambition at some point to start to add fibre in Latin America ex-Brazil?
Ángel Vilá: [Indiscernible] on the first one, the answer is yes. We are issuing at the lowest costs ever across the range. On commercial paper, we have even been issuing at negative rates. On midterm bonds, we are issuing at the lowest rates. On the ECB bond purchasing program of corporate bonds, Telefonica is one of the entities that is going to benefit the most. So, yes, we're going to be continuously using this possibility.
Jonathan Dann: Is it worth revisiting the credit rating to a higher...
José López: I'll answer your question on – sorry.
Jonathan Dann: I mean, why be so sort of rigid about the 2.35 times net debt to EBITDA funding is so cheap? It's clearly causing a lot of stress. Why not sort of have 2.3 times leverage?
Ángel Vilá: Well, I don't know if I would call it rigidity. What we have – our commitment is to have a rating of equivalent to BBB stable. And this is what triggers this ratio. It's a midterm objective that we commit to and we're working towards that. But our liquidity is very high. The cost of debt is at historic minimums. OIBDA is growing. OIBDA generation is firing on all cylinders. The five geographies are all of them simultaneously growing in OIBDA, and this allows us to look at these service in a way that does not concern us. But we have a commitment to our rating and we're going to be working in that direction.
Jonathan Dann: Okay.
José López: And taking your question on potential ultra-broadband in Latin America, you excluded Brazil from your question because you know that we are doing exactly that in Brazil. But we are going to be applying in the overall of HispAm America the same criterion, in terms of we are going to be mixing fibre to the cabinet with fibre to the home. In fact, 55% of our customer base in HispAm America have already speeds that are over 4 Megabits/second, which is significantly more than what we have a year ago, and significantly, significantly more than we have two years ago, because we have been significantly investing in shortening the loops in most of our territories. In Chile, for example, I mean 46% of our customers in Chile of the fixed broadband customers already have speeds up to between 10 Megabits/second and 50 Megabits/second. Remind that in Peru, we have the cable operation, and therefore we are combining cable with ultra-broadband. And we are also trying to do the same strategy in Colombia and in Argentina. So the answer is yes, we will go there. In terms of significantly improving our fixed broadband offer in Latin America, we are already doing that. But you should expect from us to be more pragmatic in terms of the solution mixing fibre to the home, fibre to the cabinet, and in some places, a pure FTI approach because of the topography of the region. But we are already building on that. And take a look at the performance of the former wireline business in Latin America, you will see that they are increasing revenues. We have revenue growth precisely because of our fibre offer – our broadband offer is being significantly improved as we speak. And that's where we are devoting a part of our CapEx intensity within the last four years. So the answer is yes, but we'll be pragmatic with the technological solution.
Jonathan Dann: Thank you very much.
Pablo Vidarte: Thank you, Jonathan.
Operator: At this time, no further questions will be taken.
Pablo Vidarte: Thank you very much for your participation and we certainly do hope that we have provided some useful insight for you. Should you still have further questions we kindly ask you to contact our Investor Relations department. Thank you very much again and good afternoon to all of you.
Operator: Telefonica's January to March 2016 Results Conference Call is now over. You may now disconnect your line.